Claudia Pedretti: Good morning, ladies and gentlemen and welcome to Barry Callebaut's Half Year Results 2022-23. It’s a pleasure to welcome you here at the Six Convention Point. Given the change in management, which you have seen this morning, we have slightly changed the setting for today. So the meeting today will be hosted by Ben De Schryver, our CFO. But we will also have our new CEO, Peter Feld here who will quickly talk to you on stage in a few minutes. Let me just quickly do the housekeeping before we go on. So please be reminded that the information given during this call conference contains some forward-looking statements which reflect the best of our current knowledge, actual results may be different. Furthermore, we would like to inform you that the current webcast and the conference is being recorded. As said, we have a slightly changed agenda for today, which is also slightly shorter, and will all be presented by Ben De Schryver. But before we start with the half year results, we have Peter Feld, our new CEO here who wants to say a few words to you. Thank you.
Peter Feld: Thank you, Claudia. Good morning, everybody. It's a great pleasure being here with you. And so allow me to say a few words given the just announced changes. Over the past few weeks starting as a CEO of the Jacobs Holding, I had the chance to learn about Barry Callebaut and also met several of the Board of Directors of Barry Callebaut. And so when Peter Boone announced that he would want to step back and focus on his family life, for personal reasons, the Board of Directors approached me to consider assuming the baton from Peter, which I happily do. For me joining by Barry Callebaut is coming full circle. 50 years ago, I had my grant mom run the hustle store in Germany in our hometown and Gernsbach in Germany. Since that time, it's throughout my career had the opportunity to work on many food and beverage brands. During that time, I also worked on several and with several of Barry Callebaut's customers and their diverse consumer base around the world. I thoroughly enjoyed during that time working with natural food products, oranges in the beginning of my career, coffee that went through various stages and now chocolate. Across all of these businesses, developing the brand, and their relevance to our customers was absolutely key. As you will have seen in the announcement, in my previous CEO roles, the past two steps that I had in my career, both were KKR backed companies, we managed to step change sustainable growth and lifted both companies onto their next lifecycle. Barry Callebaut is the heart and the engine of the chocolate and the cocoa industry. That is a fantastic and very powerful purpose statement for us as an organization. It gives us guidance and direction to deliver sustainable growth for all of our stakeholders. So joining Barry Callebaut is really close to my heart. It's a great honor. And I truly look forward shaping the next chapter was all of our employees at Barry Callebaut. Over the next weeks, I'm looking forward meeting all of the people that are making it happen, from cocoa sourcing, all the way to servicing our customers. I'm keen to learn about our culture, what works well and what we can improve. So naturally, you will have questions to me today. But I do hope that you understand that the first one is spend time with my organization and the team at Barry Callebaut and learn about us as an organization as a company. So thank you very much.
Ben De Schryver: Thank you, Peter. Dear ladies and gentlemen, welcome to our half year results 2022 to 2023 presentation. Let's talk about the results. In the first six months of the fiscal year, we delivered strong profitability, reflecting the strength of our business model, which includes continued cost leadership in a highly inflationary environment and good product mix. Sales volume recovered progressively in the second quarter, limiting the overall volume decline for the half year to minus 2.9%. Volume recovery was slower than expected, due to the temporary limited availability of our global brands in the first quarter and weaker than expected customer demand in high inflation environment in the second quarter. Operating profits was strong and increased by 11% in local currencies, and net profit increased by 10.4% in local currencies, compared to the prior year recurring numbers. Cash flow generation remains solid. Despite increasing raw material prices, and in adjusted free cash flow amounted to CHF 71.2 million. I will share with you some details in a few minutes. But let's look first at the highlights. You will be very familiar in the way we present our volume growth on a quarterly basis for cocoa and chocolate. Assets in chocolate against the high competitor, we witnessed gradually recovering volume growth, albeit slower than expected in the second quarter. For the half year, excluding the Wieze ramp up effect, our chocolate volume performance was in line with the underlying chocolate confectionary markets according to Nielsen. Volume of global cocoa was back at normalized level in the second quarter, leading to about flat volumes for the first half year. Now let's have a closer look at our key growth drivers on the next slide. All key growth drivers supported the volume improvement in the second quarter. After the flat volume in the first quarter outsourcing volumes grew by plus 3% in the second quarter. Emerging markets volume also turned positive in the second quarter, limiting the volume decline after six months to minus 1%. And gourmet volume growth in the first quarter suffered from the limited availability of our global brands as an aftermath of the Wieze ramp up. The second quarter, however, showed a clear improvement against a strong competitor in prior year. Let me now share with you some words on the outlook. For the second half of the year, we are confident to deliver continued strong operating profits. Due to the delayed volume growth, we now forecast the volume to be flat to modest growth for the full year 2022-2023. We now expect average volumes growth for the three years prior to land below 5% with an EBIT strongly outperforming. At Barry Callebaut, we have been and will remain very consistent on our long-term strategy, which is based upon our four strategic pillars, which you are very familiar with. We confirm today, our new midterm guidance for the three-year periods 2023-2024 to 2025-2026. Now let's have a look at the financial results for the half year in a little bit more detail. In the first half year, we see a mixed picture in the different regions. In region, EMEA volume in the first quarter was impacted by the residual effect of the Wieze ramp up. In the second quarter, we have seen volume picking up well ahead of the declining on the line chocolate confection market, in particular in Gourmet and specialties. This was thanks to better availability of products and supported by growth in Western and Eastern Europe against a double-digit competitor in prior years, quarter. Operating profits EBIT has been strong, up 10% in local currencies. Volume in Region Americas continue to decline in the second quarter in an overall soft market environment and against high competitors of the prior year. Food manufacturers was impacted by a more cautious environment leading customers to prioritize destocking in particular in the first quarter and continue to delay orders which leads to lower than expected volume in the second quarter, particularly in the first quarter. While volume was negative, we continue to focus on the value adding mix supporting the strong profitability. Volume in Asia Pacific remains about flat during the first six months of the year against a challenging competitor and a difficult economic environment. We continue to see positive volume growth in food manufacturers however, gourmet and specialty volume steadily improved in the second quarter, limiting the decline in the first six months to mid-single digits supported by the growth of local brands in markets like India and Indonesia. The ripple effects of COVID still weighed on China as a major market for gourmet in general. EBIT improved substantially benefiting from a more favorable market. The quarter still lead to a negative volume effect in a half year gross profits. However, this was more than compensated by the strong product mix effect and the positive contribution from our cocoa business. The strong positive mix effect was supported across all regions and was the result of successfully passing on inflation in price environment in the industrial business, as well as in the gourmet price lists. At the same time, we continued to focus on value adding mix and focus on the most profitable volumes in FM. Overall, gross profits increased by 11.4% in local currencies, while currencies had a negative effect of minus CHF 11 million. We have some issues with the slides but let me take a look now at the key raw material prices and the combined ratio. Here we have the slide. As you know, the combined ratio shows the relationship between the market prices of cocoa butter and cocoa powder in relation to the underlying cocoa bean price. It is a forward-looking curve; results are normally seen over a 6 to 9 months period. Please be reminded that the combined ratio only gives a broad indication for the industry. It doesn't reflect many variables such as the terminal market structure, price differentials, including the living income differential and the forward pricing structures and customer coverage. Having said that, the combined ratio remained fairly stable at 3.5x the market compared to 3.4x in prior year. This was a result of rising cocoa butter prices, while the cocoa powder prices are somewhat lower. Looking at the price developments of our key raw materials, you can see that the cocoa bean prices have recently started to increase and closed on February 28, 2023, at GBP 2,129 per ton. Sugar prices in the EU continued to strong increase, 83.4%, while the world market price for sugar was more range bound with an increase of 5.3%. Dairy prices, on the other hand, corrected, showing an average decline of minus 6.1% compared to the prior year's half year period. Thanks to our cost plus model, due to the majority of our business, the volatility of the raw material prices normally does not affect our profitability. However, it has an impact on our working capital, and we will get back on that later on. Now let's take a look at the operating profit bridge on this slide. We delivered a strong EBIT increase of 11% in local currencies compared to the prior year's EBIT recurring. Gross profit contributed an additional CHF 69 million, while SG&A and others increased by minus CHF 34 million. As we have gone through an increased inflationary environment that on the one hand, we can pass on as part of our cost plus but is still visible in our overall cost structure. Compared to a year ago, then we were just coming out of COVID, we also have increased our promotional brand activities like the World Chocolate Masters and a lot of travel activities. Currencies had a small negative impact of minus CHF 5 million, leading to an EBIT reported of CHF 348 million. The next bridge shows the development of EBITDA to net profit for the half year. Financial items were somewhat higher at minus CHF 60 million due to higher benchmark interest rates. Income tax expenses increased to minus CHF 54 million, corresponding to an effective tax rate of 18.7%. The increase in effective tax rate was mainly driven by less favorable geographic mix of profit before taxes, resulting in a net profit increase of 10.4% in local currencies compared to the prior year recurring. I am pleased with the continued solid cash generation, despite the impact of price inflation on the working capital. Working capital increased by CHF 100 million as a result of higher receivables and inventories amidst the raw material price inflation. Inventories in addition increased due to the early harvest of main cocoa bean crop. The effects were partially offset by higher payables. Interest and income taxes paid amounted to minus CHF 88 million, up from minus CHF 68 million in the prior year period due to higher benchmark rates and increased taxes. We continue to invest in our capabilities, which enables future growth. However, we also chose a prudent approach in the current market environment, reflecting a slightly lower CapEx of minus CHF 96 million. The reported free cash flow amounted to minus CHF 188 million, while adjusted for the effect of cocoa beans regarded as RMI, the adjusted free cash flow continued to be solid at plus CHF 71 million. Net adds compared to the prior year February remained about stable at CHF 1,581 million. Looking at the adjusted net debt, considering the cocoa beans in inventory as RMI, the level was further reduced by minus CHF 193 million to CHF 368 million. Let me finish the financial review with some of the key ratios. Our ROC improved compared to February 22 with 130 basis points to 12.7% on the recurring view. On the ROE recurring, we improved our ROE to 16.1% with 100 basis points. And with that, ladies and gentlemen, that concludes this presentation. And I would like to open the floor for questions. Operator, please instruct the participants accordingly.
Operator: We will now begin the question-and-answer session. [Operator Instructions]
Pascal Boll: Pascal Boll from Stifel. A few questions. So first of all, on volumes. After you were very upbeat on growth acceleration in H2. Now you guide for the full year for flat to modest growth. First of all, what changed? And secondly, what should we expect in terms of trajectory there in Q3, Q4? Q4, you have a low base. But is it fair to assume that Q3 will also be probably more towards low single digit? That would be my first question. And then EBIT was very strong in H1. Maybe we have seen a 30% increase in cocoa in EBIT year-over-year. What is behind there? And how sustainable is that profitability increase? And if we look into H2, how should we look there in terms of profitability? Do you expect similar profitability? Will there be also a positive mix effect in H2, maybe that one. And then, finally, for the CEO. I mean we have seen new midterm targets announced in Q1 that was under the old management or under the old CEO. What is the risk that we see further adjustments in the next few months there? And how committed are you to that strategy?
Ben De Schryver: Let me first answer quite a bit of questions. So let you think a little bit about the last question. But first of all, on the volume side, it is a gradual improvement. But to be fair, we saw a slower-than-expected Q2 and that made us change the outlook for this fiscal year positive, but it's a gradual improvement that we see quarter-after-quarter. We saw a prolonged effect in the Americas, where the recovery was not as fast as what we expected. We saw slower demand delaying the late August after the destocking effect in Q1. And that's made us now change the numbers, while before the last quarter, we were still committed to the full year to the midterm guidance. But overall, you can see that already in the numbers as well. It is starting to gradually improve, and that's going to be a continuation. We have all the means to further the model works. Our long-term model is a model of growth and that's something that you will continue to see in the second half as well. On your second part on EBIT as well, first of all, on the H1 EBIT was positively affected by Cocoa. It was stable. Remember that last fiscal year in H1, we had a poor performance linked to market conditions in the cocoa market, second half was much better. Now our H1 is more in line with our H2 of last fiscal year and we do see a continuation of that going forward. So how is sustainable is our profitability? It is sustainable. We are on a track record. We have a proven long-term strategy in terms of driving mix improvements as well. And that's something you see in our current results. That is actually, of course, we are projecting going forward as well that's why our confidence in our new mid-term guidance as well. We gave a strong indication there is that volume growth 4% to 6%. But we at the same time, we said our EBIT should grow 8% to 10% in our midterm guidance. I will not be myself to a specific quarter. That's very difficult to model. But what I want to say is gradual improvements of our business in this fiscal year, given the very tough market circumstances at the moment as well. I don't know whether you want to add something.
Peter Feld: I think you explained a lot already. I mean, I'm 3 hours in. So I hope you have appreciation for me not taking a position on that at this stage. I can just tell you that we have a fantastic business and a fantastic foundation, and I'm really looking forward weighing in on that.
Jon Cox: Hey. Jon Cox, Kepler Cheuvreux. Well just add to that. So Peter, so you're not committing at this point to the new financial target? I know you've already been in a few hours or days or sort of stuff. But maybe as an add, you added that in some of the businesses you've been to, you've actually typically engineered a step-up, sustainable step up. Just wondering if you can talk a little bit more about an ambition, maybe not necessarily the financial metrics. That's the first question. Second question, just back to the improvement in profitability. There seems to be a lot of doubt that is actually possible to keep up in the future. The gross margin gains are about 90 basis points on the year. Is it right to think that around half of that is the combined ratio improvement? Is that a good guess? And the second part of that would be, can you give us some examples of what you're doing? Again, there's a lot of questions I have today, say, well, what are they actually doing in food manufacturing to get that?
Ben De Schryver: So first of all, on the Cocoa side, you see, of course, combined ratio, it gives you a good proxy on the profitability of the business. But also it's linked to -- we have a more difficult market environment before. So remember, even coming out of COVID the overall demand for cocoa butter was quite depressed. It was under pressure. There was a lot of availability at that moment. That's now back around overall the profitability of the business improved and also cost factors. Remember, all the supply chain issues that were there in terms of international shipping as well, that has turned positive now as well. So that's the main contributor to the result. But overall, in food manufactures itself, it's product mix driven. Yes, on certain circumstances, highly inflation environment, but consumers, the end users are still demanding the new on-trend items. We have not seen a slowdown in our sugar-reduced products in a way vegan, dairy-free products as well. And that's, of course, helping the overall mix management for us as well.
Peter Feld: I mean, again, I mean, 3 hours in. I can just say I look at the billboard up, they're creating chocolate happiness. I think we're in a high-involvement category, and that is obviously playing the strength of the company and -- so I'm very positive looking forward. Obviously, we need to think through what we have, what we can improve, and that's exactly what we will do going forward.
Jörn Lundahl: Thanks. Jörn from UBS. Three questions, please. The first one is, coming back on the product mix. You mentioned sugar-free vegan, but these are still, I mean, particularly vegan and dairy free, maybe really lower volumes what is really behind the product mix and the story, how much capacity you have left? Just if you can give us more details to understand the big move on the gross profit. This is the first question. I will include two others, stay tuned.
Ben De Schryver: Yes. And then you can continue. On product mix, very important. We have been very focused on it. And as part of our strategy as well on how we deliver our new mid-term guidance as well, is focusing on specialty chocolate and cocoa products. You've seen us adding capacity into the market as well. We have added a factory specifically for dairy free products in Norderstedt. We are building at the moment in Ontario, Canada, a new factory focusing on better-for-you chocolates because we see the demand growing as well. So we are adding capacity there because we see a continuation of that momentum going forward as well. It is a key driver in our mix, but it's not all -- the only part of it as well, of course, you have a customer mix as well. Remember also between the different customer categories in different countries as well. The difference between private label, branded business and so on as well. I was asked the question before, do you see that as a negative for Barry Callebaut. No, we don't see that as a negative as well. Barry Callebaut is growing in every segment of the market. Whether it's private label, whether it's branded, whether it's for the smallest user, the 3-star Michelin restaurants, to the hard discounters, whether it's ice cream, whether it's bakery, everywhere where we can sell chocolates and cocoa products, we will continue to do so. And that's helping us overall in the mix as well. Even on the cocoa products as well, let's not forget about that. I talked about combined ratios as a key driver. At the same time, for years now, we have the focus on selling more value-added cocoa powders. Coming from our Cocoa Leadership project, we have been growing our premium cocoa powder brands on the Bensdorp. We have added more value-added alkalized powders, specific powders that are good for decorations actually in Gourmet. We just recently launched a new range of cocoa powders for artists and chefs as well. So there's a lot of excitement still to do with products together with our clients.
Jörn Lundahl: My second question, also to you, please, then the consumer price elasticity when the bean price now is going up, will likely not disappear in 2024 when chocolate price can go up. So I mean now you have an impact on your volumes, maybe 200, 300 basis points from price elasticity in the general chocolate market. A similar thing is likely happening in 2024. Do you plan for this? Do you have any answers on this? How can you tackle this?
Ben De Schryver: It's fair to say that cocoa bean prices are on the rise is linked to supply after coming an expected second deficit. You've seen it already now pricing. On the other hand, on the world sugar prices, it is easier. Dairy prices are on a decline as well. This price elasticity was very specific to a couple of markets, high price-sensitive markets in our H1. It was a lot of what we call compound products. These are chocolate items that are mixed with cocoa powders and other fat structures and so on as well. And those prices actually went up tremendously because the palm oil as a key component went up tremendously and then came down rapidly as well. So it is getting more affordable again, in these markets. So in the markets where we saw the biggest elasticity issues, actually, we see more positive signs as well. And in the markets, more the established markets where we see more the premium chocolate side, it is actually quite good in terms of elasticity as well. We don't see the destruction in demand there.
Jörn Lundahl: Thank you. And maybe the last question, if I may ask, the new CEO, Peter, not anything about volumes, EBIT, et cetera, but about your leadership style. You learn a little more about you, your character, et cetera. Can you maybe give us a couple of points about the leadership style you have executed in the last 10, 20 years in different positions?
Peter Feld: I think there's probably two elements that matter, which is focus as the first one. And probably the other one is learning. That's an element that cascade through from the time when it was running at building factories for Procter & Gamble, then going into the marketing and sales, later on working with FMCG companies and then working with private equity-owned companies. So just at 8:00 this morning, we had the first ground call with our APAC team, where we take questions were, obviously, Ben has presented the results. Likewise, you've seen now and we're opening the floor for questions. And it will be an open style.
Daniel Bürki: Daniel Bürki from Zürcher Kantonalbank. I would have a question on the U.S. consumer. How do you see it? Did you mention destocking is over? And you see down trading -- just give a picture, how do you see the U.S. consumer business also going forward?
Ben De Schryver: Yes. So when we report on Americas numbers, that's, of course, the overall Americas numbers that we were effected in a more price-sensitive markets like Mexico that where it's much more these compound products, these bakery items as well. But overall, in the U.S. itself, you've heard is from so many other companies as well. We saw, first of all, stock being built up during COVID supply chain disruptions than you saw a destocking effect as well, that which led then actually to delayed ordering in that market as well. Overall, the sentiment, it's a mature market. When you look at overall chocolate confectionary market in the U.S. There are some moments of decrease. And we have seen now a decrease in the first half of the year, the overall market in North America, which is actually -- the majority is in the U.S., went down with more than 2% in that market, even though the whole Americas market was only 0.5% down. So it was quite sensitive for a while because there was a lot of uncertainty. But at this moment, I must say that more positive sentiment is returning to that market as well. We see that especially people are going out, they're still traveling, they're going out, having desserts, buying pastry and bakery items as well. So overall, it's quite resilient over the longer term. But yes, quarter-to-quarter, there is always going to be differences as well. But that's why we always look at our business a little bit longer term than just a quarter-to-quarter basis as well. But overall, the sentiment is turning more positive in that market as well. But the destocking was -- and the effect of that, the recovery of orders was slower than what we had expected was weak than we expected in the last quarter.
Jean-Philippe Bertschy: Jean-Philippe Bertschy, Vontobel. Come back to management changes. I think you had some several changes in the past months. And if not mistaken, I think Peter was as well in-charge of Gourmet at interim. So are you taking that over as well, Peter? Or what is the situation at Gourmet? Which is crucial for you and has been as well not really performing in the past months?
Ben De Schryver: Yes, absolutely. Gourmet is for us a key growth driver and will continue to be a key growth driver in the future as well. There is still a lot of excitement going on. We have not discussed it further and I will not comment on it at the moment as well, but the rest is short, within the team. So yes, Peter was leading it, but we have a strong performing team and that is going after gourmet in each market because the global part of it with our global brands, but there is also a very vibrant local Gourmet scene as well. And we try to cater every aspect of the Gourmet market as well. And so the teams know what they have to do. They know what they have to deliver. So I'm very confident that we will continue to deliver. While we will, of course, now looking, allow me also some time to get to know Peter a little bit better as well and allow him to --
Peter Feld: Not dropping balls. So it's not going to be without leadership.
Claudia Pedretti: We take the next question from the line.
Operator: The first question from the telephone comes from the line of Lauren Molyneux with Citi. Please go ahead.
Lauren Molyneux: I had a couple. Firstly, just to follow up on a recent question around kind of destocking in the Americas. Just wondering how confident are you that destocking is now behind you? It's all captured in Q2? And I guess, on that, what visibility do you have into retailer inventory levels that might give you confidence there? And then, are you saying as we're exiting Q2, or you see seen any evidence of restocking all customers on to refill some inventories maybe the excessively destocked. So that's my first question. The second one would be around the outlook for the full year on volume growth. So what are you assuming happens to the underlying market in chocolate for volume growth in order to get to your target? And also whether you can comment on the key drivers in relation to your volume growth in emerging market, outsourcing and the Gourmet specialties? Thank you.
Ben De Schryver: Thank you, Lauren. So first of all, on the destocking, now looking backwards again we thought that the cycle itself would have been shorter. We have not seen in the first half in the second quarter, the recovery yet. So in our business, of course, we've been working with perishable products and compared to other flavor companies and so on. We're not talking here about more than a year cycle. But it's very difficult to predict the exact month and so on as well. But what I can say is that for the second half of the year, we see gradual improvements for our U.S. business as well linked to the recovery of the destocking and the delayed orders are linked to that from our clients. And also secondly, what I said about the Mexican market that is also part of the Americas region where we saw shrinkflation, we saw demand of one of our key customers or partners there in that market being very weak. We do see positive signs there coming back as well as the price of the products have now been reduced, the input cost has been reduced. Think about what happened on the world sugar market and the fats market. So we think that that's now in the second half to be positive. So overall, our full year, as I mentioned earlier, we expect it to be flat to modest growth. What needs to happen is, first of all, I will go a little bit market-to-market. We see a normalization after the shrinkflation after the inflation impacts in Japan, Indonesia and Mexico, that is going to normalize, it's going to gradually improve. We also, of course, are hunting for new customers as well. And I must say that also the opening of the market, more specifically in Asia Pacific, where I mentioned that China is now opening up and we see already there the double-digit growth in February, that is only going to continue. We work with our teams in Asia, and we see positive momentum there building up. Important something that I did not mention earlier on the Americas market. You see the difference between North America and South America, where the North America overall confectionery market was quite weak with a decline of more than 2%. At the same time, also and that's not in the confectionary numbers, also ice cream market itself in the U.S. was quite weak as well. But that's something we see now positive signs coming back. And so overall, it's a combination of a lot of things, but that's why we are confident to deliver flat-to-modest growth for the full year, which means a growth in the second half of the year to offset our decline in the first half.
Claudia Pedretti: Next question from the lines?
Operator: The next question comes from the line of Anthony Myers with Confectionery News. Please go ahead.
Anthony Myers: A message for Peter. I just wondered how the new change at the top affects Barry Callebaut's sustainability strategy moving forward? I think Peter was very, very active in that area, very supportive. So what can we expect now moving forward? Thank you.
Peter Feld: Yes. I think that's fundamentally important for us as a company and for me as a person, I should say. You may have seen in the announcement, I've been the Vice President of the German Brand Association for about 10 years and actually had the helm to take forward the sustainability program for the industry at that point in time across different businesses. So it's something that is very close to my heart, and we will absolutely carry that forward going in the future.
Ben De Schryver: Yes. And we will have our Forever Chocolate Day on May 10. So more exciting news coming your way as well.
Claudia Pedretti: We have one more question from the lines?
Operator: The last question from the telephone comes from the line of Andreas von Arx with Baader-Helvea. Please go ahead.
Andreas von Arx: Yes. Good morning. I'm afraid I missed the start of the call. So apologies if you already covered that topic. But with regards to the CEO change, has there been an extended external search process with internal and external candidates? First question. And second question for Peter Feld. I mean, isn't it a bit odd that you joined as CEO of Barry Callebaut from a company that previously has reduced position in the very same company, which is not really speaking of confidence in the business model? Thank you very much.
Peter Feld: Okay. So that's two good ones. So let me take the first one. I think as I mentioned before, I have been asked by the Board of Directors of Barry Callebaut to consider this role, which I did. And you can rest assured that they're following the compliance and everything that needs to happen in a public company. And I'm very happy to be in a position to take that on. I think also for whatever happened in the history, I can't comment on that because I wasn't there. And so I think, obviously, for me leaving Jacobs Holding that creates a void in Jacobs Holding. So it's not easy. For Jacobs Holding at this point in time, the employees on that side have been informed in parallel to the information that you saw this morning at 7:00 or shortly after 7. And I would actually be with them later to have a communication with that team. But I don't want to comment further on that because I haven't been before there. And as I mentioned on my initial statement this morning, there's just a few matches that made a lot of sense for both sides. And also my passion for the business is very obvious as I explained.
Claudia Pedretti: There is one more question on the phone.
Operator: The next question from the telephone comes from the line of [indiscernible] with Bloomberg News. Please go ahead.
Unidentified Analyst: Thank you for taking my question. My first one would be on the banking crisis that we've seen. Now that Credit Suisse has been taken over by UBS, which I assume you are banking with, does that change your business, does that impact your business in any way? And does that also mean you might look for other larger foreign banks to do business with? My second question is on the news we've been reporting on bean shortages in Ivory Coast cost. Has that impacted your exports or your access to beans in that region? And if so, what are you doing to mitigate the challenge that comes from that region? And would you say something on where you're seeing direction of demand going, especially in Europe and the Americas as customers deal with the cost-of-living crisis? Thank you.
Ben De Schryver: Thank you. So on the banking crisis, I will be very, very short. I can only comment on our own company. We have a solid cash management. As you know, we are sitting on a good cash balance as well. So in that sense, it does not affect any of the crisis out there our company. Now on the bean shortages, yes, you saw the news in Ivory Coast towards the end of the main harvest season, that there were shortages -- yes, it did affect quite a bit of companies. We were in the news about it as well. We were at the tail end. We had already completed our seasonal buy of beans. So it did not affect any of our factories or shortages. I'm very pleased to announce that shipments have resumed again. So this is not totally behind us as well. But it's fair to say that there is a more balanced cocoa crop. And when we're going into the second year of a deficit coming from a huge surplus before that you will have situations like this on and off as well because it is more tighter on the supply side. But having said this, there's plenty of cocoa beans around. There are plenty of warehouses with cocoa beans. There are no shortages. You should not be worried about not having chocolate products around. There is plenty of chocolate, especially for Easter coming up as well. Directionally, demand's growing. It's more what I said earlier on Wieze, demands growing for better-for-you items of sugar-reduced items, but also lifestyle chocolates, like vegan dairy-free products as well. So overall, we see demand per capita still growing in emerging markets coming from a lower base. So that's where the overall consumption of chocolate in terms of volume per capita is still going to grow more stable in mature markets, but it's a different type of products, of course, that consumers are demanding. And we do see some shifts between the locations on where consumers are buying that chocolates as well. Yes, you see them more going in the markets where it's a tougher economic environment going to hard discounters as well. But of course, as I mentioned earlier, that does not affect us. Overall, we are supplying the whole industry and every segment of the industry.
Claudia Pedretti: Are there more questions in the room?
James Amoroso: Hi. James Amoroso. I do have a question for Peter. You've got obviously a fantastic CV and you've achieved an awful lot during that time. Is there one thing that you can point to that you think, yes, I'm really proud of that. Or your biggest achievement and how you went about achieving it?
Peter Feld: So when you think on the last row, right, in GFK obviously, with cost track in being relevant to the customers, and that should never happen. So we had a lot of discussions with the company early on with employees and as well with your colleagues when the company was still public early on, where we had discussions about what do you do, how do you connect to growth? How do you even do that? And so digitization was a keyway out. And for me, I'm a mechanical engineer from training. It was a fantastic journey right to learn about how to build a platform that creates data democratization throughout the organizations of our customers where customers are willing to pay up. And so I think that was a fundamental the continuation on a very strong foundation that we had getting data from 125,000 retailers globally on and offline, but then actually just make more sense for our customers out of it. And so that's probably one of the examples that cascade through my whole career, right? I mean how do we create relevance for our customers? And likewise, that's probably what will drive me in this journey here. Your colleague asked me about sustainability. I mean we have a fantastic backbone on sustainability. So I'm really looking forward to learn more about that. I think that is an anchor stone of the company to take forward as relevant to any consumer in the world and let alone all our customers. And so there's great opportunities for us to continue that journey driving more relevance, driving more price, obviously, on the back of it, right and creating value for our customers and their end consumers.
Jean-Philippe Bertschy: Jean-Philippe, back again. A question on M&A, of course, it'll be difficult to comment, and I'm back to Gourmet probably with one of your competitors making some acquisitions, strengthening its position with a former Barry manager. What is the view here? And maybe to Peter as well, if you have some experience with regard to M&A?
Ben De Schryver: So let me start on M&A, we always carefully look at M&A opportunities, inorganic opportunities as well, whatever comes to the market as well. And then, we have key drivers internally that we check very carefully, of course, the price to be paid. And the second part of it is, can we grow organically better faster ourselves as well? And then, you come to quick conclusions that not everything that's available on the market is at the right price. But it comes with a conviction as well internally is like, hey, we can do this. We have a proven track record as well. We can grow our markets organically as well. Think about what we have done during COVID time as well let's say a lot of the gourmet markets was done, we have proven that without our own teams, we didn't not restructure our teams. We can grow market share. We can grow in a lot of markets as well. And that's a little bit -- it's a show of confidence in our own ability to grow as well at an affordable level. I don't know whether you want to add.
Peter Feld: Yes, I can just say that, for me, it's always important to start with our purpose statement. So who are we, right? But then where do you want to play? And that should determine what we're actually looking at. I think in my mind, I mean, in my past career, I had opportunities to create joint ventures and [indiscernible] in businesses where we probably couldn't create value for our customers. But then, also just create and unlock significant opportunities through cooperation with others and joint ventures. For example, the Symphony Technology Group, where GFK actually created a joint venture for the U.S. market, which was a very distinct business or a Coffee Day Cafes with WMF coffee machines. So we will look at things as we have to, but it needs to make sure that they are in the corridor that we think we can truly create value.
Jörn Lundahl: Thanks. Jörn from UBS again. Two follow-up questions, please. The first one is on outsourcing. How do you assess the current pipeline? And isn't it the case that your key customers guiding for negative volume growth, maybe say, okay, look, the in-source here and there to fill up our own capacity? Is this something you observe right now? Or any other special reason why outsourcing maybe is not as strong as maybe sort of hoped one or two years ago currently. This will be the first question, and I would have a quick follow-up.
Ben De Schryver: Yes. On the outsourcing, first of all, it's turned positive in the second quarter. You saw that they grew 3% there, while the overall volume was down. So that's already a positive sign as well. And outsourcing for me, it's important that we come to a win-win. We have been more selective compared to the early days of Barry Callebaut, which was about building a footprint, building a global presence. But for us, it's very important that we create a win-win that is also creating benefits to our bottom line as well. So it's a careful balance. It's never a no discussion. It's always a not yet discussion with a bit a lot of potential outsourcing clients as well. As you know, more than 50% of the market is still in sources. There's a huge potential there, but everything needs to be checked as well. It needs to be seen. At what point can we create value for the customers and at the same time, create value for Barry Callebaut as well by combining sometimes smaller outsourcing deals, but also looking at certain geographies and so on as well, where we're already present, that we can put it into our existing facilities, but also we're still not afraid to invest together with our clients in new markets as well. But for us, very important is to come to critical must come to win is that it's not just about the volume in our books without adding value as well. A follow-up on that part on outsourcing as well. We don't necessarily account it as outsourcing, but actually, what's happening in the market now with new items like organic dairy-free and so on. We are selling these two large corporations as well. It's not really an outsourcing because it was never in-sourced in the first place. But over time, you have to think about it as well. This is actually a new outsourcing when products are shifting to a different category as well where we are at the forefront. That's something that is adding to our growth as well.
Jörn Lundahl: Thank you. And then, the last question, please, on your CapEx detail for the next two to three years, how much of the growth CapEx is actually going into this value-add product? Is it 70-30 versus previously 50-50? Just that we have more clarity and understanding and also the total CapEx run rate, are you adjusting a little bit after the weaker fiscal year '23 volumes?
Ben De Schryver: No, it's all about phasing as well. You saw that we reduced a little bit compared to prior year. But overall, in the midterm, we are still around thinking about a number around CHF 300 million, CHF 310 million, which is based upon the historical normal run rate as well. Of course, a lot of this investment, you saw the announcement of our new facility in Ontario, Canada. It was publicly announced that it's $100 million investment in that facility, which is catered towards the better-for-you. And that's beautifully in the model now that we are building, we can do it at scale because we can combine a lot of clients into one facility. If you are an in-sourced player, and you have to change over between regular chocolates to white chocolate, then to color chocolates, then to dairy free or vegan products or sugar, you lose a lot of efficiency. With us, we can put a lot of customers together into a facility and can do it at scale as well. So that leads towards our cost leadership as well in that area. That's why we continue to invest. The overall amount still around the same level. We will always carefully plan that out on when we add capacity into the market as well. When we build new facilities, we don't build all the lines all at once. We gradually systematically add lines in our facilities as well because for us, very important is to run at our capacity utilization at a high rate.
Claudia Pedretti: Yes. I think with that, we close the conference for today. Thank you very much. And of course, we are welcoming you people in the room to a slight coffee or to some chocolate, of course.
Ben De Schryver: Thank you, everybody.